Operator: Good day and welcome to the StealthGas Inc. third quarter and nine months 2010 results conference call. For your information, today's conference is being recorded. At this time, I would like to turn the conference over to Mr. Harry Vafias, President and Chief Executive Officer. Please go ahead.
Harry Vafias: Thank you and good morning, everyone. Welcome to our conference call and webcast to discuss the results for the third quarter and nine months ended September 30, 2010. I am Harry Vafias, the CEO of StealthGas and will like to remind you that please I will be discussing forward-looking statements in today's conference call and presentation. Regarding the Safe Harbor language, I would like you to refer to slide number one of this presentation, as well to our press release in our third-quarter and nine months 2010 results. With me today is Andrew Simmons, our CFO, and if you need any further information, please contact Andrew or myself. Let’s begin from slide number two. We continue to operate a highly efficient and modern fleet primarily in the Handy Size LPG segment on secured employment contract with first-class charters that serve a very specific niche market. During the third quarter of 2010 we completed the purchase of one Aframax crude oil tanker which has been declared in the five-year bareboat charter. We were able to obtain this vessel at an attractive price, for value has already increased since the purchase, and we immediately (inaudible) secured long-term bareboat charter thereby providing favorable stable cash flow to the company going forward. We continue to look to sell some of the older and less productive LPG tonnage as we make way for the five brand new ships that are slated to join this fleet in February of next year. Moving them from the fleet, I believe will improve the overall performance of the company going forward. Already, the exports we have made this year and last have resulted in improvement on the average time chart equivalent rate achieved by the fleet compared to the third quarter in first nine months of last year. These measures coupled with the 12 period charters we announced recently at and average rate flows being $1000 per day more than the current diverse TC rate per day of $7017 per day for a fleet should result in an improving outlook for financial performance for the company going forward. We have no further scheduled deliveries of ships until the first quarter of 2011 and as we have previously highlighted the circa of $11 million of States payments during 2010 for the five LPG new buildings we have in Norway would be made comfortably from our internally generated cash flows. After taking into consideration the total fleet of 38 ships at the end of third quarter 2010, our net debt-to-capitalization ratio stood at 45% which coupled with our employment profile I have just highlighted an overall quality of our charters continue to underpin the financial stability of our company. We continue to (inaudible) secure and visible revenue stream with stable and predictable cash flows. The charts we have announced recently have enhanced our profile both in terms of days now fixed and the improved rates being obtained I have just discussed. At the moment system governance for the remainder of 2010 stands at 78% for this year with about 60% already covered for 2011 and above 35% already fixed for 2012. We have announced a number of attractive pay-off [ph] features in the last few weeks which should enhance our performance going into 2011. As you have seen from our results our time-charter equivalent rate was $7040 per vessel per day compared to $6,564 in the corresponding course of last year which represents an increase of about 7.3% on a year-to-year basis albeit to the smaller fleet (inaudible) rate per day at $7,017 compared to $6840 per day at the end of Q3 2009. While these improvements are both welcome and encouraging we continue to face challenges in the near term from a trading standpoint as we continue to have high number of vessels trading at the spot market as was the case particularly between 2005 and 2008. We have also again included in our adjusted time-charter equivalent on a blending basis in our slide presentation for both the LPG vessels and all the tankers as if none of these vessels were on bareboat charters. This not only gives you a more realistic figure in terms of the average time-charter equivalent achieved by the fleet but we also have adjusted the vessel operating expense line later in the presentation as if it were to be responsible for the operating expenses of all the vessels in the fleet. On this basis, the daily PC was $7792 in Q3 2010 against $7802 for the same time last year. The third quarter of each year is traditionally the shortest one for our company in terms of the seasonal trade and therefore it’s encouraging to see a little bit of stability in the average rates achieved by the fleet for the third quarter on a year-to-year basis. I am also pleased to report that yet again we continue to remain comfortably above our net income breakeven level as we will discuss later in the presentation. We currently have three LPG vessels, three product tankers and one Aframax oil tanker all in bareboat charters which are the most secure in terms of operational risk plus we are protected from such expenses as bankers, crew and insurance costs as all of these expenses are for the bareboat charters account. As we have announced in recent weeks, we will be increasing the number of vessels on bareboat starting with two vessels in January of next year by a total of six vessels (inaudible) having an average duration of 3.8 years. These contracts have an average TC of $7373 per day. So they represent a very secure and steady income for the company over quite a prolonged period of time which along with the other time-charter we have announced should both (inaudible) underpin or earnings going forward. Our fourth goal has been to own and operate a modern fleet of LPGs and in this respect our average age as today is 11.4 years excluding all the tankers and the five brand new LPG vessels compared to an industry average of about 22 years. We continue to believe that within our core sectors will give us a competitive advantage and this factor will be important as move forward in 2011 and beyond. We shall discuss later, there is an expected contraction in the overall size of the handy sized LPG fleet unlike any other active shipping sector. Our fifth objective has been to maintain a close customer relations. The quality of our customer relation is exemplified by the quality of our charters which also lowers our counterparty risk. I am pleased to say that, to date, we continue not to have any issues in terms of charter’s performance and that’s the reason we announced we have secured significant new business with new and highly respectable clients. Our sixth goal has been to maintain cost-efficient operations. I am pleased to report yet another good performance in Q3 of 2010. Our net income breakeven level per vessel excluding losses on derivative was $6311 per vessel per day compared to $5963 per day per vessel in the prior quarter. On a year-on-year basis excluding losses on derivatives, our then net income breakeven increased from $5,665 in Q3 ‘09 compared to $5,963 in Q3 of this year due primarily to an increase in depreciation expenses and high operating expenses per vessel as a consequence of a reduction in the number of bareboat chartered ships. An increased voyage expenses due to the higher exposure of this pub market. For the nine months our daily net income breakeven increased from $5,595 in ’09 to $5,924 this year again due primarily to an increased appreciation and operating expenses for the reasons explained. We continue to concentrate heavily on managing our cost base and based on these results, these efforts continue to preserve the profitability of the company at a time when we continue to trade in a relatively flat environment. Finally, with regard to our stock repurchase program we can report as of close of business Monday the16th of November the number of shares repurchased totaled 1 million to 1005000 to 129 shares. Slide number three. This slide demonstrates the development of our fleet. By the end of third quarter 2010 we had a fleet of 34 gas ships, three product tankers and Aframax crew tanker. StealthGas continues to hold the number one ranking in owned vessels in the 3000 to 8000 CBM segment worldwide. We continue to believe this segment of the LPG space have strong fundamentals, coupled with relatively stable charter rates as we are demonstrating. Plus StealthGas has a favorable order book and fleet growth outlook compared to the average sized segments in the LPG sector and very significant in the other asset classes of shipping. Slide four. This slide demonstrates our fleet employment profile and provides you with the earnings visibility for each of our 38 current ships. At the bottom of the employment profile chart we have included a percentage of voyage days fixed. This enables you to assess the stability and predictability of our earnings. As you can see, 78% of voyage days are already fixed for this year; about 60% for ’11 and above 35% for 2012 (inaudible) announced increasing the fixed employment base for the company in ’11 and ’12 are significant and a very positive development. We now turn to the financial highlights for the third quarter in first nine months of 2010, and she will pass you on to our CFO, Andrew Simmons.
Andrew Simmons: Thank you, Harry and good morning everybody. We now turn to slide number five for the financial highlights for the third quarter of the first nine months of 2010. At an average of 37.7 vessels are under operations in the third quarter of 2010, realized net income of $1 million and voyage revenues of $26.7 million and produced EBITDA of $9.7 million. The third quarter of 2010 reported a loss of $2.6 million on interest rates SWAP and currency hedging arrangements which included an unrealized non-cash loss of $1 million on currency hedging and interest rate swap arrangements, and a realized cash loss of approximately $1.6 million on interest rates swap arrangements, plus a non-cash 1.1 million gain on the valuation of foreign currency deposits and $40,000 non-cash provision for a restricted stock deferred stock-based compensation. Excluding these non-cash items, our net income was $900,000 or $0.4 per share calculated on $21.1 million average shares outstanding. Our net debt to capitalization stood at 45.7% at the end of Q3 2010. We continue to believe that maintaining our leverage at moderate levels is important. Following the acquisition of the Spike in July as currently structured, no further debt will be incurred by the company until early 2011 when delivery of the five new LPG vessels commences. We now – let’s turn to slide number six. This slide provides you with an overview of the development of our income statement for five consecutive quarters. In comparing our results from the third quarter of 2009 where we had an average of 42.9 vessels in our fleet to the third quarter of 2010, where we have an average of 37.7 vessels in the fleet. Revenues decreased by 6%, EBITDA decreased by 41.2% and our EPS excluding non-cash items, was $0.4 per share compared to $0.13 per share in the same quarter last year. Now turn please to slide number seven. These are our operating highlights for four prior quarters, Q3 of 2010, plus our full-year figures for 2008 and '09. In terms of fleet days in the third quarter 2010, we owned and operated an average number of 37.7 vessels compared to 42.9 vessels on the same period last year. Total charter days for the fleet during the third quarter of 2010 were 2513 and we also had 881 total spot market days. This compares to 763 spot days in the same quarter last year. In terms of average daily results per vessel for the third quarter of 2010, we achieved a time charter equivalent of $7792 per day per vessel on the adjusted basis, compared to $7802 per day per vessel in Q3 of '09 and $7835 per day per vessel in the prior quarter. Vessel operating expenses per day on the adjusted basis, i.e., no vessels on bareboat charter, were $3778 per day per vessel compared to $3675 in Q3 '09 and $3640 – $3684 per day in the second quarter of this year. We now turn to slides numbers eight and nine. Now we turn to financial highlights for the first nine months of this year. With an average of 38.8 vessels owned and operated in this period compared to 41.8 million in the first nine months of last year, we realized net income of $6.8 million on voyage revenues of $82.4 million and produced an EBITDA of $31.8 million. For the first nine months of 2010, we reported a loss of $6.1 million on interest rate swap currency hedging arrangements, which included an unrealized non-cash loss of $1.3 million on currency hedging arrangements and interest rate swap arrangements and a realized cash loss of approximately $4.8 million on interest rate swap arrangements. Plus a gain on the sale of vessels of $1.1 million and a $100,000 non-cash provision for restricted stock deferred-based compensation. We also reported significant increased dry docking expenses due to the scheduling, with the year-to-date dry docking expenses totaling $2.3 million compared to $800,000 for the first nine months of 2009. Excluding the non-cash items discussed above, net income was $6.1 million or $0.31 per share calculated on 21.7 million average shares outstanding. The net debt to market values of our existing fleet current expense stood at 51%, which we believe is among the lowest of the U.S. listed shipping companies and underlines, in our opinion, that our prevailing stock price continues as we have discussed previously and as we will later on to undervalue the company. We now turn to slide number 10. As we have already discussed, we continue to try to run our fleet in a very cost-effective manner, concentrating extremely hard on operating our ships efficiently and safely. Our vessel operating expenses in Q3 of 2010 increased by just 2.8% of the same period last year when we had four more vessels on average in the fleet and a higher number of vessels on bareboat charter in the third quarter of this year. So on a cash flow basis, our breakeven per vessel for the third quarter of 2010 was $6790 per day if we deduct the realized loss on derivatives compared to $6275 per day in Q2 of 2010. What is encouraging from a cost standpoint is, if you turn back to slide number seven, our total – vessel operating expenses per day for Q3 2010 were only 2.1% higher than the corresponding quarter last year and just 8.7% high than before 2009. On a net income basis, our daily breakeven per vessel net of realized costs on derivatives was $6311 per day in Q3 of 2010, compared to $5963 per day for the second quarter of 2010, an increase of $348 per day per vessel, or 5.8% due primarily to an increase in depreciation expense and direct operating expenses and voyage expenses, as a consequence of the decrease in the number of ships on bareboat charter and increased exposure to the spot market. We now turn to slide number 11. Using the input given on this slide, our shareholders can estimate our financial performance for the remainder of 2010. This slide provides you with the revenues we have already secured as of today till the end of this year based on contracted revenues under time and bareboat charters. Total contracted revenues to date were $104.3 million, which is 92.3% of total 2009 revenues. Plus, we have the variable in revenues to be generated by those of our vessels with days that are not yet contracted for, in the remainder of this year. And we have provided you with that number of days, 920, as the fleet stood at the first of October 2010. So you can input the rate, you wish to assume our average vessel not yet chartered will earn for the remainder of 2010 and you can calculate our projected performance for this year. Thank you very much. I'll now hand you back to Harry for some further comments.
Harry Vafias: Let’s move to slide number 12. This slide illustrates the volatile freight markets over the past eight years for the medium-sized and the large-sized gas ships in comparison with midsized and smaller semi-ref and fully pressurized ships. Our core sectors have experienced a much lower volatility and until recently steady growth in freight earnings from mid-'05 onwards and a mild recovery in one-year charter rates in the sector is evident. It is clear from this data that our type of ships, which form the core of our business and with our foreign move from dry, wet and container up-markets have over the past eight years not experienced the significant fluctuations in rates that these average shipping sectors have seen. And we are hopeful that this relatively nonvolatile trading pattern will continue, as I believe we proved during a challenging 2009 and through our reported operational results for the first nine months of 2010. That point is further emphasized by slide 15, which shows the one-year time charter equivalent will at least (inaudible) the year 2000, between the drybulk crude tankers and 5000 cbm fully pressurized LPG ships, which are the typical majority of our fleet. As you can see, based on the mean average for these sectors over this quite extended period, the level of volatility is far higher in the dry and wet spaces in our core sector. There is a continued expectation that the supply of LPG product will increase during 2011 and beyond. Plus, demand is expected to continue to be steady, particularly in the Far Eastern developing world. Therefore, we continue to believe that the outlook for our core market is encouraging and we will continue with the contracted acquisition during ‘11 and '12 of five brand-new gas ships, while, in the meantime, as we have already commenced looking for reducing number in some of the smaller and older vessels in our fleet. This trimming will not only keep our fleet in terms of age but the forefronts of the market, by the proceeds from these sales, have already enhanced already strong liquidity position and reduced our debt level, which was already quite conservative. In addition, some of this liquidity, it has been utilized to date to repurchase some of our common stock and will also be deployed to selectively expand the company if attractive opportunities are found or to reinstate the payment of a dividend. Slide 14, this slide indicates the freight rate of evolution for the 12 months time charters of our market. The figures are based on independent estimates by Lorentzen & Stemoco. As you can see highlighted in yellow, this segment continues to be, as we have just discussed, characterized by a lack of stability. One-year time charter rates have been reasonably steady and the independent forecast for the first quarter of '10 is that rates will be similar to those currently being obtained. These projected rates were slowed [ph] down on what we were achieving earlier in the company's history (inaudible) welcome, did not in any way push the company towards a loss making situation from a trading standpoint, as we have proven throughout ‘9 and 2010. We continued to believe in slide 15, but the forecasted minimal fleet growth of the Handy Size LPG sector this year and the negative fleet growth in ’11, ‘12, at the time when several large scale gas projects are due to come on stream, gives us a defined and positive outlook for our core sector. As in expectation of the supply of LPG product, it must be shipped at this time will increase. We continue to believe that this supply demand actually is very encouraging for a company and is a very virtually unique situation within the shipping industry [ph], particularly given the order book situation being faced by many of the other sectors of shipping today and the mix outlook for the world economy, particularly in the area of discretionary spending. Slide 16. We have included in this slide to reemphasize the point, as I have just made, refers to the different order book outlook for the LPG sectors as opposed to the more mainstream sectors of shipping. As regard of the figures shown here and the graph are for all LPG sizes and I have just discussed the not only for the core handy size segment. Last as we just discussed the old size of our specific for each sector is projected to decline during 2010 and particularly in 2011 and 2012 which given our market leading position should be a positive de facto for our company and fleet. Slide 17. We have included this slide previously taking example of different types of listed companies and making a comparison of their price to net asset value compared to ours. We have also included a comparison of price to earnings ratios. As you can see from a slide based upon data made available to us recently, we seem to continue to present a very attractive prospect to investors when benchmarked against these companies who do not benefit from the sector that we have been discussing. So, on this basis, at least prices I highlighted earlier, are comparatively low debt to market value level, who continue to be valued inappropriately by the market and still less in my view continues to be an attractive company to investment based upon these valuations and the outlook we have discussed here. To summarize, the company is in a good position to take advantage of improvements in our core market and also opportunities as they present themselves going forward. Plus, if the world does not move back into recession, our strong financial base will demonstrate the steadiness of our core sector and the conservative employment profile of our tanker fleet will be a good defense against any possible downturn. I would also like to stress again that we have not needed to issue any negative equity or undertake any high-yield financing during the challenging period we have all experienced over the last two years or so and that the company remains operationally profitable and may able to comfortably meet its ongoing obligations. Finally, I have seen significant opportunities [ph] from both human existing lenders to finance the five new LPG new buildings that begin to deliver to us in February and we’ll try to announce full details of this financing shortly. Our stock continues to trade at close to a 60% discount of NAV which remains both disappointing and frustrating particularly when the very specific fundamentals of our core segment are taken into consideration. Along with the significant announcements made recently, with our future employment for significant personal fleet over the next two and half years on average, we hope that once these factors are digested, the market will see these as a positive sign and that our share price may move closer to reflect the real value of the company. We have reached the end of our presentation, and we would like to open the floor for your questions. So operator, please open the floor. Thank you.
Operator: Thank you, gentlemen. (Operator Instructions) And we’ll take our first question from Natasha Boyden from Cantor Fitzgerald. Please go ahead.
Natasha Boyden – Cantor Fitzgerald: Thank you, operator. Good morning, gentlemen.
Harry Vafias: Hello, Natasha.
Natasha Boyden – Cantor Fitzgerald: Hi. Harry, I know you touched on this during the call but you have been pretty busy selling some of your small older vessels, and when you look at your fleet, are there more ships you would consider selling or do you think you sold everything that you would like to use it for the time being?
Harry Vafias: We would like to sell within the next 12 months our five ships, if we could.
Natasha Boyden – Cantor Fitzgerald: Okay. And are those also the smallest and older ships, so are you looking at selling some near ones to little equity at all?
Harry Vafias: We would look at the older vessels obviously because these are the most difficult to trade in the spot market and also difficult of course to put in long-term charter and obviously some of it comes along and give us a very good price for the modern vessel, we will discuss but obviously we prefer the older vessels.
Natasha Boyden – Cantor Fitzgerald: Okay. Great. And it sounds of, sort of the strategy going forward, I mean, now you have new vessels coming in but do you find asset values become attractive and sort of having attention to further expand the fleet or are you going to focus now on cash flow generation and deleveraging?
Harry Vafias: I have seen the latter. We don’t think the gases prices have significantly fallen as you might have seen. We have increased the fleet considerably, I think, nearly five times from the IPO as you know well. We have added some very, very special bunkers and the new ones as you know again. So the answer is no. Of course, it is a very good opportunity either on the gas side or the (inaudible) side we look at it. But when you say that the 60% discount NAV, it’s better to delever or buy stock.
Natasha Boyden – Cantor Fitzgerald: Okay. And that’s going to leave me, my question is with this, sort of, ease of cash, you suspended the dividend and I’m just sort of turn the way up whether or not you would consider increasing your share repurchase program over any desired (inaudible) dividend, will that be fair to say?
Harry Vafias: It would be fair to buy back stocks since it is at such a big discount but as we said before, we will discuss the following with the board when the financing of the five new buildings is in place.
Natasha Boyden – Cantor Fitzgerald: Okay. And then just one last question, are your new building on track to be delivered on time?
Harry Vafias: Probably earlier.
Natasha Boyden – Cantor Fitzgerald: Probably earlier. Okay. All right. Great. Thank you very much.
Harry Vafias: Thank you.
Operator: (Operator Instructions) And we have a question now from David Wheeler [ph] from Mantaro. Please go ahead.
David Wheeler – Mantaro: Hi. Just a quick question on how much you expect to bid – that last you bid on the new buildings?
Andrew Simmons: I think it was around $90 million at the end of the previous quarter.
Harry Vafias: No. We’ve made – we are just in the process of making another payment, which equates to about $6 million that takes us through the rest of this year.
David Wheeler – Mantaro: Yeah.
Harry Vafias: And then, we have the small payment to make in early part of next year, but then the expectation is that the balance we made up from financing and in fact…
David Wheeler – Mantaro: Okay. Just was wondering if you paid any in, during the previous quarter, during the Q3?
Harry Vafias: Yeah. We did pay some in Q3, yes.
David Wheeler – Mantaro: Approximately, how much was that?
Harry Vafias: That was approximately $4 million.
David Wheeler – Mantaro: Okay. Great. Thank you.
Operator: And we’ll take our next question from Bill Frazier from Greenhill Capital. Please go ahead.
Bill Frazier – Greenhill Capital: Yes. Good afternoon, gentlemen.
Harry Vafias: Hello.
Bill Frazier – Greenhill Capital: Regarding the number of vessels on spot, you’re desired to have some kind of spot exposure or would you like to have more longer term exposure just need the ways to improve?
Harry Vafias: The latter, we would prefer to have more ships on period with guaranteed inflow of earning.
Bill Frazier – Greenhill Capital: And are you seeing those opportunities in the market or is it more of a challenging market right now to get those period deals?
Harry Vafias: I think our last announcement proves that is not very difficult, we announced 12 new below [ph] charges in the last one month, which is an amazing, I think successful company, close to 30% or 40% of the fleet. Of course, it’s much more difficult for the older ships and that’s why we are happy that, thank god we don’t have many old ships and the majorities are modern and therefore we can fix the modern ones may be leave the older ones trading spot.
Bill Frazier – Greenhill Capital: Okay. Thank you very much.
Harry Vafias: Thank you.
Operator: (Operator Instructions) Gentlemen, we have another question from Jay Weinstein from Oak Forest Investment Management. Please go ahead.
Jay Weinstein – Oak Forest Investment Management: Good morning, guys. How are you?
Andrew Simmons: Good morning. Fine. How are you?
Jay Weinstein – Oak Forest Investment Management: Fine. Thank you. Just a quick question about the share repurchases program. I know you are waiting for the financing to be finalized but it’s has the repurchase program been active over the last couple of months or you’ve been working on that or is it been sort of on hold like, I know you bought earlier in the year, I didn’t know obviously curious that what’s been in the last couple of months.
Harry Vafias: I think we are still buying shares around September and we are now frozen it until the financing is in place which we hope everything will be in place before Christmas.
Jay Weinstein – Oak Forest Investment Management: Oh! Great. Okay. So that’s kind of what I thought. I just wanted to clarify. Thank you.
Harry Vafias: Thank you.
Operator: (Operator Instructions) Gentlemen, we currently do not have any questions in the queue.
Harry Vafias: Okay. We’d like to thank everyone for joining us at our conference call today and for your interest and trusting our company. We look forward to having you with us again at our next conference call for the fourth quarter and 12 months 2010 results in February next year. Thank you very much.
Operator: That will conclude today’s conference call. Thank you for your participation, ladies and gentlemen. You may now disconnect.